Operator: Good morning. My name is Agnes and I will be your conference operator today. At this time, I would like to welcome everyone to the AutoCanada Second Quarter 2021 Earnings Call. [Operator Instructions] I would like to remind everyone that certain statements in this presentation and on our call are forward-looking in nature, including among other things, future performance and the implementation in the Go Forward Plan. These includes statements involving known and unknown risks, uncertainties and other factors outside of management’s control that could cause actual results to differ materially from those expressed in the forward-looking statements. AutoCanada does not assume any responsibility for the accuracy and completeness of the forward-looking statements and does not undertake any obligation to publicly revise these forward-looking statements to reflect subsequent events or circumstances. For additional information about possible risks, please refer to our AIF, which is available on SEDAR and our website within the Investment Documentation and Filings section. I will now turn the call over to Mike Borys, Chief Financial Officer. Please go ahead.
Mike Borys: Thank you, Agnes. Good morning, everyone and thank you for joining us on today’s second quarter results conference call. For today’s call, I am joined by Paul Antony, our Executive Chair; Michael Rawluk, President of our Canadian Operations; Peter Hong, our Chief Strategy Officer; and Casey Charleson, our Vice President of Finance. We released our Q2 results after the market closed yesterday. A copy of our results is available for download on our website. For today’s call, we will be discussing the current state of the business, discussing the financial results and providing an update on both our Canadian and U.S. segments. With that, I would like to turn it over to Paul.
Paul Antony: Thank you, Mike and good morning everyone. We are thrilled to report yet another record setting quarter. Powered by the team’s continued unrelenting drive and focus on execution, our operations delivered strong second quarter results across almost every key metric, starting with revenue, where we recorded our highest second quarter figure of $1.3 billion through adjusted EBITDA of $70.5 million or $59.6 million on a pre-IFRS 16 basis, which was 1,360% better than Q2 last year. This is a tremendous performance from top to bottom. Obviously, comparing against the quarter that was impacted by the onset of COVID was a factor in the increase. However, this performance continues the trend of sustainable improvement, the execution of our complete business model and strategic initiatives. If we go back to Q2 2019, our adjusted EBITDA on a pre-IFRS 16 basis was $23 million. Our current Q2 performance is ahead of that metric by 159%. Mike is going to get into this with his piece, but when you look back over the progress we have made over these last 3 years since his management team took over, you can look at a trailing 12 months adjusted EBITDA on a pre-IFRS 16 basis to the end of Q2 ‘21 of $176 million. That compares with the trailing 12 months results of $48 million to the end of Q2 2019. Those results reinforced the strength and resiliency of our business model. Particularly impressive with the strong performance of our U.S. operations, this was a breakout quarter as our newly appointed management team led by Jim Douvas drove a fundamental shift in the operating and sales culture while capitalizing on favorable market conditions. Significant strategic operational changes, including establishing a dedicated used vehicle team and actively top grading talent across all functional areas at the dealership level and our U.S. head office positioned the U.S. well for selling season and led to improved metrics on multiple fronts. Specifically, the U.S. increased used retail unit sales to 1,797 units from 693 units in the prior year, an improvement of 159% and supported the improvement in their used to new ratio to 0.77 from 0.69 in the prior year. They also reported normalized adjusted EBITDA of $7.7 million in Q2 2021 against $0.9 million reported in Q2 2020. While one strong quarter doesn’t make a trend, we remain nonetheless impressed with the progress we are seeing from Jim and his team and believe we are on the right path to margins more typical of our U.S. peers. Over the last few quarters, we discussed several key structural advantages that we expect to benefit from in the quarters ahead. And I’ll highlight how these advantages continue to play a significant role on our performance this quarter. With digital, we continue to be pleased with the uptake in our online departments at our dealerships, which are responsible for taking online customers through the entire sale transaction, providing continuity regardless of the customer transaction completely online or comes into the dealership. We continue to see the consistency of our service across dealerships remain matched in the marketplace and provide a significant competitive advantage. Our dealerships online sales departments are supported by a dedicated home office team specializing in digital sales. This centralized support team provides training, promotes best practices, analyzes key performance indicators and provides regular monitoring of the data and coaching. And it’s all wrapped under our Buy from Home banner. We also continue to see good momentum initially in our digital use strategy, including our second platform acquisition in the segment announced earlier this week. In terms of our scale, not only we are able to hire and attract top tier talent and support, supporting and training our dealers with best practices, the operating cost structure that we have in place suggests we’ll be able to continue to profitably grow the business. Canada OpEx as a percentage of gross margin was just 72%, excluding any government assistance. This beat our record performance in Q3 2020, all the while building our infrastructure to support future dealership growth. Our balance sheet strength is another part of our advantage and we are well-positioned with dry powder to take advantage of our acquisition opportunities while maintaining our financial flexibility. We have moved net debt leverage from a high of 6.6x at the end of Q1 2019 to 0.1x at the end of Q2 2021. The benefits of our commitment to diversification efforts also continue to be highlighted in this quarter. Each component of the AutoCanada engine was in motion and played a significant role from used vehicle sales to RightRide, F&I, parts, service, collision and the strength of our U.S. operations. All of our initiatives are showing traction and are on track for continued growth. Building on what we said last quarter about our data advantage, our focus on leveraging our in-house data science team to make decisions about inventory was a key driver of our performance this quarter. The strength of our operating platform and balance sheet has enabled us to continue to develop organically as well as to focus on an acquisition and innovation strategy. Given our strong business position and available market opportunities, we see significant opportunities to grow as an industry consolidator in both the short-term and long-term. I will speak to our pipeline at the conclusion of this webcast and provide a little more color on where we are headed. Speaking to the market environment in the industry as a whole, clearly, we are living in unprecedented times and we expect the market environment to remain constructive over the next 18 to 24 months as vehicle production begins to come back and margins eventually normalize for both new and used vehicles on a sustainable basis. During this time, we expect to continue to show strong results and we will continue to be disciplined with our approach as we have been over the last 3 years. We have been building muscle into our business model and we are now beginning to focus more resources on the integration of our pipeline of acquisitions. Our employees in Canada and the United States continue to work tirelessly and they have delivered excellent performance. Thank you to all of you so much. We are encouraged by their very strong momentum across our business and we remain well-prepared to face any challenges in our current environment. I will come back to speak more about our business model and strategy in my concluding remarks, but for now, I will turn it over to Mike.
Mike Borys: Thanks, Paul and good morning again to everyone on the call. As opposed to speaking to some of our performance metrics, as compared to the prior year, which would clearly paint this favorable picture, I will skip back to 2019 to better demonstrate some of the progress that this company and the management team has made over the last 3 years. In essence, this speaks to many analyst questions on sustainability of our performance. References here will be based on pre-IFRS 16 accounting. Bear in mind, that this TTM review excludes Q2 2020 and the various material provisions and subsidies we took into our P&L in that quarter. For the most part, this is a clean review of the last 12 months as compared to the first full year of operations for the new management team at that time. Trailing 12 months adjusted EBITDA at the end of Q2 2021 is $176.4 million. This compares to a TTM adjusted EBITDA at Q2 2019 of $48.4 million. It’s worth noting that our U.S. operations had lost $13 million in adjusted EBITDA to the end of Q2 2019 as compared to generating a positive $14.8 million to the end of Q2 2021, a positive swing of $27.8 million. Over that same period, our consolidated EBITDA margin improved from 1.5% to 4.3%. Operating expenses as a percentage of gross margin improved by approximately 33 percentage points moving from 105.9% to 73.2%. Used to new on a consolidated trailing 12-month basis improved from 0.69 to 1.04, a callout here to Canada specifically taking use to new from 0.73 to 1.13. Trailing 12-month free cash flow improved to negative $19.5 million to a positive $160 million, a swing of just over $179 million and net debt improved from $272 million at the end of Q2 2019 to $21.6 million at the end of this most recent quarter, bringing our net debt leverage from 5.6x to 0.1x. The Canadian team has led the way in actioning and proving out the Go Forward plan. Our results show it. Jim Douvas and his U.S. team are now moving in the same direction. We have cleaned up our balance sheet, strengthened our relationships with our lenders and have dry powder well in excess of $300 million to complete deals without having to raise equity, while staying within our target range of debt leverage. Beyond these gains in our core business segments, we continue to see real opportunity across their strategic initiatives, including OEM dealership acquisitions, the build out of our use digital footprint, the build out of our collision platform, and the ongoing expansion of our near-prime RightRide business. So, we come back to the question of sustainability. We can’t speak to the next quarter or the quarter after that, but based on our track record, we have clearly grown the potential of this business while also working to strengthen the core foundation of our model across all segments of the business. We will let the quarters take care of themselves. And with that, I will turn it over to Casey.
Casey Charleson: Thanks Mike. At the consolidated level, revenue came in at $1.3 billion, an increase of $553.6 million or 76%. Gross profit came in at $217.8 million, an increase of $120 million or 123%. Net income was $37.7 million, an increase of 288%. Adjusted EBITDA came in at $70.5 million, which was an increase of $65.7 million or 1,360% over Q2 2020. In our Canadian operations, total retail vehicles sold came in at 19,237, an increase of 6,184 units or 47.4%. The Canadian operations generated revenue of $1.1 billion, an increase of 66% versus the prior year. Gross profit was $187.9 million, an increase of 109%. Net income was $33 million, an increase of $46.7 million. Adjusted EBITDA was $61.5 million, an increase of $53.2 million. Other key highlights include the following. Same-store gross profit increased by $89.8 million or 103% and our gross profit percentage increased to 18.3% from 13.9%. Same-store used to new retail units ratio increased to 1.37 in the quarter from 1.01. Same-store F&I gross profit per retail unit increased to $2,942, up 12% or $305 per unit. Same-store F&I gross profit increased $19.6 million or 57%. In our U.S. operations, revenue was $192 million, an increase from Q2 2020 of 170%. Gross profit was $29.9 million, an increase of 273.1%. Net income was $4.7 million, an increase of $11.1 million. Adjusted EBITDA was $9 million, an increase of $12.5 million from Q2 2020. New vehicle gross profit increased by $6.7 million and new vehicle gross profit percentage increased by 9.7 percentage points to 5.4%. Used vehicle revenue increased by 413% and used vehicle gross profit increased by 469%. The number of used retail vehicles sold increased by 159% to 1,797 units. I will now turn the call over to Michael Rawluk to discuss our Canadian operations.
Michael Rawluk: Thanks, Casey and good morning everyone. Thank you for taking the time to join us today. We had a fantastic second quarter, there is no other way to put it. Every aspect of the business performed and we continue to drive operational excellence based on data-driven decisions and executing on our AutoCanada playbook. These results do not happen by accident. We want to extend a tremendous thank you to each of our dealership teams across Canada for delivering record results in Q2. We also want to extend a special thanks to our OEMs, strategic partners and vendors who have shared the same vision of operational excellence and advancing the business forward. I will take a moment to highlight a few aspects of the business that have shown great progress within the quarter. First, our new vehicle business continued to perform well. Stepping back to Q2 2020 when we outperformed the market by 20.4 percentage points, because we have remained open, we had a much stronger starting point last year. For instance, if we looked at the business as our OEM partners do and compare Q2 2021 performance to Q2 2019, for brands owned by AutoCanada, we remained ahead of the market by 8.5 percentage points. If we look at the used business, Project 50 continues to exceed our goals as we sold an average of 76 used vehicles a month per dealership in Q2. Over the last 12 months, we have sold an average of 58 used vehicles a month per dealership compared to 42 in the prior year on a trailing 12-month basis. We are also proud to report that our finance and insurance business same-store gross profit per retail unit increased to $2,942, up 11.6% or $306 per unit. As global leaders in this segment, the sustainable success of our F&I division is a result of leveraging industry leading data analytics, paired with in-house national training and development focused on maximizing opportunity as we continue to improve upon the sale of products per deal and gross profit metrics. As we continue to further expand our presence in the industry and control vehicle ownership lifecycle, our go forward initiatives and ancillary businesses, including RightRide, our Special Finance division; wholesale export and AutoCanada collision centers are making strong contributions to the bottom line. These businesses are strategic drivers that are still realizing their full potential. With respect to RightRide, we are very pleased with the progress that we have made in this area. We have developed a digital sales and marketing strategy enabling customers to apply for credit online and purchase a vehicle anywhere in Canada. This completely digital and virtual experience is supported by remote vehicle delivery nationwide. We currently have 7 locations with 4 in the pipeline to bring our total to 11 standalone locations by the end of this year. A meaningful portion of our competitive advantage is a direct result of our operational analytics. Cutting-edge, data warehousing technology, robotic process automation and applications, along with world class reporting are only some of the results of a focused investment in this area. AutoCanada is a data-driven company. We make daily operational decisions based on math and facts, combined with expert knowledge of our many long-term industry specialists. This scientific approach to sourcing analyzing and distributing data in a consumable form to our frontline decision-makers has allowed us to unlock the potential of each dealership and OEM brand. Management in dealership team members across all of our business units have access to real-time dashboards that provide them the context to make optimal decisions. Data has played a significant role in our inventory management strategy, something that has been a priority for us since October last year and we continue to be laser focused. At the end of July, we had approximately 3 months supply of new vehicles, not including our production pipeline. We have managed our inventory supply well and have moved to a more centralized coordination of inventory in order to better balance our requirements across the dealerships. In addition, we are focused on pre-selling inventory before it arrives on ground. We entered August with 65 days supply of used vehicles based on selling a minimum of 60 used vehicles per dealership per month. It’s worth noting that 77.5% of our used vehicle supply is coming from lease returns and trade-ins. So, we definitely have an advantage in this area. It’s true that used vehicles are difficult to source right now, but we stockpiled massive amounts of used vehicle inventory during the winter through a dedicated centralized use vehicle buying strategy. This strategy paid huge dividends by allowing us to enter the spring market with ample inventory, which also drives a high replenishment rate through vehicle trade-ins. While we recognize that Q3 will be difficult for production across all OEMs, we do not see new or used inventory impacting our sales pace into Q3. We are confident that the allocations we will receive will address our retail needs and that Q3 production will be somewhat stabilized compared to previous quarters. We are excited to share that we have established an acquisition and integration team in anticipation of our pending pipeline of acquisitions that Paul will speak to shortly. Rooted in people’s systems and processes, this acquisitions and integration team is solely dedicated to the full operational transition of dealership and collision center acquisition targets until they are transitioned to the AutoCanada playbook and ready to be handed over to the appropriate operations platform team. Additionally, this team access transition support for the integration or reintegration of certain operational related projects that affect change in the dealerships or collision centers. They also assist the mergers and acquisitions team with forecasting due diligence and facilitate the closing of the transaction. This was a tremendous quarter, no other way to put it. Some people are surprised by this performance, but we are not. Going forward, we are confident that our unique recipe of proven processes, repeated day in and day out, coupled with data-driven decisions by our specialized industry experts will continue to help us advance our competitive strengths. AutoCanada’s mission is to compete and win. To this end, have a look at the quarter. Back to you, Paul.
Paul Antony: Thank you, Michael. When we think about growth opportunities, we often reference three distinct phases: crawl, walk and run. Our Canadian operations have clearly entered – sorry, the run phase and are primed to continue the momentum while aggressively pursuing growth opportunities. As part of this growth strategy, we continued the expansion of our used digital retail divisions with the acquisition of Mark Wilson’s Better Used Cars. It’s one of Canada’s premier used vehicle dealer operators. Mark Wilson’s has deep roots in the Ontario market with strong brand name recognition and a loyal customer base. Dealership retails between 150 and 200 units per month, with the facility capacity to recondition and sell up to 500 units per month. As one of the best used vehicle dealer operators in the country, adding Mark Wilson and his team to AutoCanada further improves our bench strength and talent pool and allows us to access best-in-class practices. With our Haldimand acquisition in December 2020 and with Mark Wilson’s in August, we are beginning to build that footprint of used dealerships which will support our used digital platform. Our U.S. operations continue to make strides as well having gone through a long crawl we are now hitting our stride to enter the walk phase. Jim Douvas and his team have made impressive gains already in the U.S. market. For the brands we represent in the Chicago land market as reported by Chicago Automobile Trade Association, we have outperformed the new retail market in Q2 by 46.1 percentage points as compared to the prior year and we also beat the used car retail market for Q2 2021 year-to-date by 59.7 percentage points when compared to the prior year. Our strong performance this quarter reflects the fundamental strength of our business model and our operational playbook allows us to be ready to execute on our next leg of growth and acquisition strategies. We remain extremely active in the buy/sell market turning over every rock and exploring every opportunity, while maintaining discipline in our valuation methodologies and approach to transactions as valuations have not yet fully reconciled with the realities of the industry. In fact, through our extremely disciplined due diligence process, there have been some opportunities that we have had to pass on as they didn’t pass our diligence review or meet our strict hurdle requirements at the end of the day. We will continue to be extremely disciplined as we evaluate these opportunities to ensure they fit with our stringent criteria. That said, our playbook allows us to overlay several growth factors on to acquire dealerships, most not available to other dealers or dealer groups, of which successful execution on just a couple of those growth factors can ensure we move beyond our internal hurdle rates. We also know the markets in which we function, particularly Canada, country-wide exceptionally well. We believe this positions us to execute post-acquisition as well as anyone. We remain well positioned to execute on our acquisition strategy in the coming quarters. We have established a significant transaction pipeline with dealerships in collision centers representing over $500 million in annual revenue currently being evaluated under signed LOIs and purchase agreements. The LOIs subject to due diligence represent $200 million in annual revenue. Signed purchase agreements for dealerships located in Ontario subject to OEM approval and other standard closing conditions represent over $300 million in annual revenue. Inclusive of brands, we do not currently operate today. We expect to close on these deals before the end of this year. Beyond these deals, we are at varying stages of the acquisition process with other targets that have not yet reached the signed LOI stage. We are assessing this extensive pipeline of acquisition opportunities qualitatively and quantitatively, with the goal of diversifying by geography and brand in addition to expanding our network of used dealerships and collision centers. As we have said before, we continue to be proactive and vigilant as to what the future holds with any ongoing impact from COVID-19. We believe we have stabilized the fundamentals of our business while identifying and developing several growth vectors, new cars aside, with our North American platform, including F&I, parts and service, collision repair, near-prime sub-prime and use-only retail. Our team has been mobilized to approach each one of these growth opportunities with the same intensity and vigor with which we rebuilt this company. We are excited about what the future holds for AutoCanada, and remain poised to take advantage of the disruption and consolidation in the industry and blaze a new path forward in the evolution of the company. Now, I will turn it over to the operator for any questions. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from Chris Murray with ATB Capital Markets. Chris, please go ahead.
Chris Murray: Yes, thanks, folks. Good morning. At the risk of sounding kind of repeating the question, the question does become the sustainability of earnings. And Michael, thank you very much for giving us an idea of your inventory positions as we go into Q3. As we look at Q3 this is going to be probably a tougher comp, because Q3 last year was probably the first quarter that we have really seen the performance. So, a couple of questions on this, one in terms of your ability to continue to retail used vehicles how do we see that continuing to perform? And then the other question is around the collision repair and maintenance line, where we saw a sizable shift in gross profit for Q2, just wondering if you could maybe discuss your ability to continue to sell into Q3 and maybe what’s going on in the parking service business?
Mike Borys: Okay. So I will unpack that here. So we will talk about used vehicles for starters. So, the demand for vehicles is strong. There is renewed enthusiasm for vehicle ownership. There is lots of first time buyers. There is tons of pent-up demand in the system and there is still people that are still sitting on their money waiting for the full cycle of the pandemic to be done. So there is still continued pent-up demand. So, the demand – on the demand side, it’s strong. Now, the important thing on the used car side is to reference that data point that 77.5% of the used vehicles that we retail come from lease returns and trade-ins. And so it’s that replenishment rate that will help us to meet that demand. Now, although prices at the auction rationalized based on the Manheim Index and the ADESA Index and stuff like that, at the auction. That’s in the open market, where you have multiple bidders bidding on the cars. The lease returns are preset residuals that are not adjusted by current market conditions, those were set 3, 4, 5 years ago. And the trade-ins are not an open market transaction. The trade-in is a negotiation between us and the customer and they are not primarily negotiating the price of the used vehicle, they are negotiating the price of the payment of the new vehicle with the contribution of the used vehicle. So, it’s not a very clear transaction and it’s not an open market with lots of competitors. So, all that to say, we see I don’t think anybody would argue the fact that demand is going to be strong for some time and there is pent-up demand. And that based on the replenishment rate and the nature of how we acquire used cars that we expect margins to continue strong for some time. We have often and you will hear this from people in the auto retail industry, multiple people is that we are entering – have entered and they are entering the golden age of automotive retail for a number of those factors. So, that’s used cars. Margins, sustainability of margins, if you compare like every quarter we compare to a basket of U.S. peers that we have been tracking, the AutoNations, the Penskes, Lithias and so forth. And if you look at our margin performance, we are in the mix, we are happy to be in the mix, but we are not overshooting this group. And that’s both kind of humbling because we have more ground to take the journey is certainly not done. It will never be done. But we have more ground to take in that regard. But it’s also encouraging, because the fact that we are not overshooting the U.S. peers speaks to the sustainability of what we are doing on the margin front. We are better than we were for sure, but we are just getting in the game. We are just in the league here with everybody else.
Chris Murray: Okay. Go ahead.
Mike Borys: The last part of that, I believe was parts service and collision. So we are seeing a return to the movement of vehicles, we follow retail fuel sold year-over-year, month-over-month, we follow the mobility indexes out there and across country. And we have been managing using the debt to improve upon to manage our margin profile in that whole area of the business and then waiting for the volume to come back. And there is a return to that volume and that’s a steady improvement. We are continuing to see those trends into July. And I think that we have an active summer of driving, which ultimately leads to improved parts and service. In addition, our performance in F&I which is primarily the sale of extended warranties and protection products that ultimately are serviced and prepaid maintenance and different products that are serviced at the dealership that will continue to provide growth, embedded growth as these warranty and insurance contracts start to come to fruition.
Chris Murray: Okay, that’s helpful. Then my next question, I don’t know who wants to take this one, but just thinking about the M&A story at this point, I think you made the comment that these will be brands you don’t represent and one of the questions I had as you guys are aware there has been some media reports that it gets one of the out of major U.S. publics is thinking of coming to Canada and certainly, they represent a number of brands, including some that you don’t have, because of some hesitancy around public company ownership. Can you maybe speak to your thoughts around any impact around brands being willing to do business with you folks, because you may not be the only public company in Canada anymore as well as any color you can provide us on what type of brands you maybe actually looking to add to the portfolio?
Paul Antony: So, I am not sure I understand the first part of the question when you say, can we speak to that? I am not – I don’t understand the question.
Chris Murray: Yes, sure. So what I am trying to understand is some of the OEMs have been hesitant to work with AutoCanada, because you are a public company. Just wondering, if there is more public companies now in Canada, if you see their positions moving in your discussions?
Paul Antony: So I would tell you our experiences, we don’t have that experience and we are having discussions with virtually all brands. And so I can’t comment other than that, then we are having discussion with all OEMs.
Chris Murray: Alright. And then any color on the type of brands you might be looking to acquire?
Paul Antony: Well, again, so the color is it will represent brands we own and don’t own. And I think it’s easier to figure out the ones that we don’t own and draw a circle around those and say we intend to own them.
Chris Murray: Okay. Alright. Thanks, folks. That’s my questions.
Paul Antony: Great.
Operator: Thank you. Your next question comes from David Ocampo with Cormark Securities. Please go ahead.
David Ocampo: Thank you. Good morning, everyone.
Paul Antony: Good morning.
Mike Borys: Good morning.
David Ocampo: Now that the U.S. market is entering into that walk phase, can acquisitions now become part of that story? I understand you did one last year, but a bigger part of the story, maybe not even just in Illinois, but in other states or even regions?
Paul Antony: Sorry, my, my line is breaking up. Could you repeat that?
David Ocampo: Yes. So, the U.S. market hasn’t improved quite dramatically here. And I was just wondering if acquisitions can now become a bigger part of the story, maybe not even just in Illinois, but in other regions or states?
Paul Antony: So that’s a great question. I would say, a year ago, we were just looking at the U.S. to stabilize it. Because obviously, if everybody remembers that I am sure how can you forget, I think analysts and investors had written it off for dead and our goal was just to get it to at least breakeven, so we could decide what to do with it. And we have been fortunate. I can’t even explain how fortunate we are to get Jim onboard with his team. They have now turned this into a platform. And as we start executing against our initiatives in the United States, just like we are in Canada, we feel the same possibilities will open up to us in the U.S. And so to answer your question, it’s now become a platform versus before it was quite a burden. And so again, we are still early innings. We are proving out the thesis on it and we are going to be disciplined about it, but early indication is that we will have the optionality to be able to have platforms both in Canada and the U.S.
David Ocampo: Now, that sounds good. And with your leverage now down to basically nothing, do you guys have an update on how much dry powder you have available? I think the last time you indicated to us it was close to $250 million.
Mike Borys: Yes, I can take that. We will talk about in excess of $300 million. You can do the math to kind of get yourself back into that 2.5x to 3x leverage. And you will come up with a number, we just give a broad number in excess of $300 million, but it’s – obviously it’s going to be more than that. We generate – we actually generated good amount of cash and I think looking at free cash flow over the last 12 months, we are quite impressed when we think about what we are able to generate against what our fixed cash outflows are. So again, it’s – we are exactly where we want to be.
David Ocampo: Okay. That’s my two. I will hop back in queue.
Mike Borys: Great, thanks.
Operator: Thank you. Your next question comes from Michael Doumet with Scotiabank. Please go ahead.
Michael Doumet: Hi, good morning guys. Great quarter. I wanted just to touch on kind of one of the drivers of the sustainability discussion. On the parts and service side, there was a nice rebound in the quarter. You are approaching 2019 levels. Maybe you can give us a sense for the cadence there month-to-month through the quarter. But I guess if I remember correctly, 2019 parts and service wasn’t necessarily a high bar for you guys. I think there was some technician turnover as you tried to ramp that business up progressively. So just to get a sense for the pace of the recovery as well as maybe what the upside is, I don’t know if you want to communicate that through occupancy rates or something like that?
Paul Antony: Well, I’ll take it for just a moment. The issue in talking about any of this stuff is we are in unprecedented times. And so you can kind of step back and say to Michael’s point, miles driven was down, it’s starting to come back. We are looking at all of these different metrics to give us visibility on how much it’s coming back. And we know that new cars and used cars are in short supply, which means that the car park is getting older, so people are going to need to repair their vehicles more. And so I mean, there is so many different ways of looking at it and for us to sit back and say, we expect it to do this or do that in the midst of this recovery, it’s I don’t know that we necessarily want to go there. What – just using common sense, it makes sense to me that, because there is less cars and more miles are starting to be driven that people are going to need more and more service. So, it needs more customer pay versus warranty repair. And yes, you are right, in 2019, we had low occupancy rates. We were hiring technicians. And we had our DealerMine call center really ramping up. And so I think the new normal hasn’t really made itself visible right now. And so the sustainability of the parts and service business, I would say in my estimation, this is just – this is my gut feeling that over the course of the next couple of years as there is a shortage of used vehicles and new vehicles, more people are going to need to repair their vehicles. And so I see that business being sustainable over the next 2 to 3 years. But that’s just – that’s more gut and then data. And I am sure somebody could take an alternate view, but that would be my view. Michael, I don’t know if you can add to that?
Mike Borys: The only thing I would add is that its parts and service and collision are it’s a long journey. And I think if you look at the trend of our service business over the last number of years, that it’s been slow and steady progress, except for the impacts of COVID. And so we feel like we are back on the trail of slow and steady progress. The positive indicators are performance over the last couple of months, I think the summer has been quite active for miles driven and we are starting to see that selling used cars, selling more cars will eventually have a delayed impact on service. And our performance in finance and insurance and selling protection products, prepaid maintenance, extended warranties for cars, all these products that are serviced by the dealership will eventually kick in and that will be a lag and that will be another growth factor that will really promote service, but it is slow and steady, but it’s worth it.
Michael Doumet: Got it. Thanks for the color guys. That’s helpful. And then maybe just second question, you commented on the inventory, but I wonder if you can speak to that versus your peers in Canada. I mean, obviously, in the U.S. stats are available and the numbers are much lower number. So, 3 months of inventory sounds pretty darn good. Just to compare it versus your peers and whether or not you think there is a potential for share grab as things tighten through in Q3?
Mike Borys: And what was the last comment shared what, sorry?
Michael Doumet: If there is a share grab because you are better positioned versus your peers?
Mike Borys: Okay, got it. The inventory question really varies by brand. And we have to be little bit sensitive to not calling out the challenges and successes of individual OEMs. But I would say for one of the OEMs as an example, we are looking at approximately 3 months supply of inventory in Western Canada and we were looking at the National Day supply and it was at 0.8. And you heard that right, national was that 0.8, we were close to 3. And so in especially in some brands, where we were really able to bulk up in the winter and get production orders in the system and carry surplus inventory, we are seeing a significant competitive advantage. In other brands, we are running with the group, but we have increased our turn and earn. So we have increased our sales pace. So even though our inventory day supply is the same, our sales rate has increased. So that translates to more inventory for us. But I think the question if you step back from the new vehicle inventory question is do we have enough inventory to continue our sales pace? Yes, we do. Do we think that our inventory strategy put us in a competitive advantage compared to our peers? Yes, we do. And then the turn and earn situation and the limited new inventory available will help to keep us in that competitive advantage in that pole position when it comes to inventory.
Michael Doumet: Interesting. Yes, thanks a lot. And maybe just to push on that a little bit harder. When do you expect inventories to normalize? If ever again, I don’t know what your views are, but the timing of it and whether maybe this is kind of structural in the industry?
Mike Borys: So we are const – it’s a moving target, we are constantly talking to the OEMs about when production comes back. They don’t have a lot of certainty, but I can share a few things with you that will help frame it. One is we just received a number of our October production allocations for a number of brands and we were very pleased. So this is inventory that will be going into production in October, and arrive on our lots probably mid-November. So, we were very, very encouraged by that production. Now, if you look at the size of the Canadian market compared to the U.S., roughly, let’s just call it worth the size of California. And so it doesn’t take much for Canada, it doesn’t take much spillover from the U.S. or Canada to get their cup filled with inventory. It’s just we as a country we have to perform and we are on a turn and earn allocation globally competing against other countries for allocation. But as Canada comes back and we produce, all it takes is just a little shift in U.S. production to the Canadian market. And we are full and that’s really what we saw in October. And we are very pleased. The other component of it is that indications from all OEMs, is that production will be steady to slightly improving over the next 6 months. So as retail sales start to soften seasonally in the winter that will allow us actually that stable production level will allow us to actually start to build up and bulk up our inventory once again for the spring. And then we repeat the cycle all over again. We have seen this – I will end with this is that people in the industry have seen this play out before most notably, I would say like in the 2009 era with all the chaos in financial and OEMs and that type of thing. And the real exciting part is when your margins get reset, because supply and demand rationalizes and puts the leverage back on the retailer which is which is where it’s at right now. And then the volume starts to come back with the enhanced margins. Now, it takes some time it takes multiple years for the system and dealers to give up these enhanced margins. These are normalized margins for us. And nobody in the industry is going to give them up easily until the full production cycle catches up, gets ahead, we get over inventory like everything cycles. And then only then there will be pressure on margins to go down, but like that’s a multiyear cycle. So, once the volume starts to come back with these enhanced margins, it’s going to be pretty special. It’s not there is so much demand out there, it’s not that sensitive or plastic that the margins will go away immediately, they won’t and it’s going to take a while to catch up.
Michael Doumet: That’s great color, Michael. I appreciate it. I am going to try to squeeze one in and I apologize. But for the targets with purchase agreement, I just want to make sure I understand that is the final hurdle OE approval or is it more than that?
Paul Antony: Yes. So that’s typically it. It’s not like – and whether it would even be that for brands that we own. So that’s typically it.
Michael Doumet: Looks good enough for me. Thanks, Paul.
Paul Antony: Thanks.
Operator: Thank you. Your next question comes from Luke Hannan with Canaccord Genuity. Please go ahead.
Paul Antony: Hi, Luke.
Luke Hannan: Hey, everyone. Thanks. I just wanted to revisit the M&A pipeline. Paul, I think last call, what we had heard from me is you said that pricing wasn’t necessarily where you want it to be. It looks like just based on the size of the pipeline, the fact that you have progressed sort of in executing that M&A, it sounds like maybe that’s changed, can you share any color on that?
Paul Antony: Well, Luke, I think, hindsight is 2020. And I am actually thankful that we started many of our negotiations and signed our deals up when we did. Because expectations now we are performing well, but so is the market, right. And so we have a bunch of deals that when you look back, they are in the rearview mirror compared to what sellers are wanting today they are extremely attractive. And so we are basically executing on the pipeline of deals that we actually feel are opportunistic and make a ton of sense from a synergy perspective that we can actually even buy down the multiple. And so, we started this journey, we had actually met, I am just trying to think I think, February of – January, February of 2020 to start down our M&A path, but obviously COVID stopped that. And that said, we had a bunch of deals in the pipe at that time, we just kept working them and working them building relationships. And so we still have a strong funnel to execute on, that’s been cultivated for the last couple of years.
Luke Hannan: Got it. And then I am curious if you can share at all, you talked about the $500 million in annual revenue that you have in the pipeline, but those are all under LOI. Can you share maybe quantify maybe in terms of annual revenue if that helps? Maybe the discussions that you’re having with other dealership groups that maybe aren’t necessarily under an LOI, but are still interested in being part of the transaction?
Paul Antony: What would you like me to share? I mean, I don’t know really, what you are looking for.
Luke Hannan: The incremental, maybe in terms of annual revenue, the size of the pipeline – yes.
Paul Antony: No, we can’t.
Luke Hannan: Okay. That’s fair enough. But on the on the $500 million that you do have under LOI, can you share maybe the margin profile of what those businesses typically like, is this sort of in line with where you guys are at currently little above, little bit below?
Paul Antony: Again, it’s pre-synergy or post-synergy and this is part of our secret sauce. So we think we have got a bunch of acquisitions that are going to be highly beneficial for us that we intend to announce as I think we said before the end of the year and we will just leave it to you to be the judge of that and hopefully, history is going to prove us right.
Luke Hannan: Okay. Okay, that’s fair…
Paul Antony: Don’t mean to be so vague on it, but…
Luke Hannan: No, I understand. That’s fair. So the last one and then I’ll pass the line here. As it relates to F&I really good performance this quarter. I am just curious what are the biggest levers or the biggest opportunities for growth moving forward here? Is it just higher attachment of those F&I products to the cars that you are already selling or maybe is there whitespace in your product menu that you feel you can fill in just maybe if you can share some thoughts there?
Mike Borys: Yes, you got it. So, it’s filling in the product menu, getting more products, somebody – something for everybody. And then it’s just salesmanship. It’s we measure that by products per deal although we report gross per unit. What we obsess about is products sold per deal. And so we continue to grow our product sold per deal through training and analytics and opportunity and it really is like baseball. Like we have said money ball it’s so nuanced and the data is so granular. And then we find opportunities, we deploy our training team, we rework menus, rework product portfolio, practice, train, track to get the sales up and that business continues to forge ahead again, not on margins. And I want to emphasize that it’s not improving margins, its improving products sold per deal. And July, because saw the other day that July was another record in F&I. So, this team and the people that are selling just continued to amaze with their performance, but it’s salesmanship.
Luke Hannan: Okay, terrific. That’s it for me. Thanks.
Operator: Thank you. Your next question comes from Krista Friesen with CIBC. Please go ahead.
Krista Friesen: Hi, thanks for taking my questions. I just wanted to follow-up on some of those M&A comments, I can appreciate that the deals you are working on right now, you were looking at a while ago where the multiples were lower. But can you comment on how and if the multiples have moved up for current transactions and if you are seeing kind of pressure upwards pressure from increased competition from U.S. competitors entering the Canadian market?
Paul Antony: So I didn’t – so to be clear, I didn’t say the multiples have gone up, I – what I am – what I hope I said was I think pricing has gone up, because every dealer is doing well. I am not saying that the multiples are actually driving up. But the earnings of the dealers over the course of the last couple of years have gone up. So if you compare ‘19 to ‘21, like I said, we are having a great year. And we have got the machinery in place to have record-setting quarters in the industry. And that’s why we measure ourselves as compared to the rest of the market, right. But that said every dealer is doing really well right now, there is a shortage of inventory, you don’t have to discount your vehicles and on and on. And so I think that pricing has gone up. That said a lot of the deals that we are on and signed up to and in discussions with we had started the ball rolling a 1.5 years ago. And because of COVID many of these have taken a hiatus and then come back to life. And so we feel like we are dealing with reality when we are in our acquisitions, because we are basing them off of historical numbers that we think are repeatable versus where the industry we think is going to be over the course, as Michael said, over the course of the next 2 to 3 years, like when Michael said, it’s the golden age of auto retail. I agree with them over the next 2 to 3 years these are going to be unprecedented times and that’s because of inventory shortages and your ability to procure and sell used vehicles and F&I and all of these other products that we have become, we believe best-in-class at. And so I would tell you that our goal is to execute on the deals that we have, integrate them, take a step back and look and see where the market is. But to start from scratch right now to go into the market and necessarily just go and buy based on earnings from ‘21 or ‘20. I don’t know how repeatable that’s going to be in 5 years. So we are just being very cautious about how we deploy capital. Does that make sense?
Krista Friesen: Thanks. I appreciate. Yes, I appreciate the clarity on that. And then just on the used vehicle side, I realize roughly 77% of your vehicles are coming from off leases or from trade-ins. But can you comment on what sort of increase in prices you have seen on the remaining 22% of those vehicles from say October when you started accumulating your inventory to now?
Paul Antony: I will let Michael talk specifically about that.
Mike Borys: Yes. So I have to break that into three segments. So, the one that gets the most airtime is the auction segment. So, the public auction which drives all the headlines and all the public indexes. So from October to say now, the market was what you could follow the index, but the market was quite the index went up in the spring and stayed there for the early part of the summer and then started to come back in June. Right now, I would say from peak to which would be the beginning of June to say last week, there would probably be a 5% drop in the pricing of vehicles at the auction, which that’s an important point of clarity. The segment, the secondary auctions, which are the trade revs and the e-blocks and the trading and buying direct among dealers and rural dealers and different locations and that type of thing have experienced significantly less drop. So where the public auction was about a 5% drop from peak that would definitely be like about 1%, maybe 2% drop on the secondary auctions. And again, keeping in mind that the public auction has U.S. buyers and global buyers and everybody in it, it’s just this massively transparent and the person who owns the car is the person who keeps their hand up last, right. So, that’s the most sensitive from the pricing. Now, for the 77% of the vehicles that we have, the acquisition pricing hasn’t changed. And it hasn’t changed really all year. And that’s because the lease returns as indicated the price is pre-embedded in the residual when the contract is originally set. And then the trade-ins are it’s not a public transaction and it’s part of a multi-process where the customer is really buying a car payment, they are not negotiating the price of the new car, they are not negotiating the price of their trade-in interest rates, they are not discretely negotiating each aspect of how to get that to that payment. They are negotiating the payment. And so we are more in control of our acquisition costs at that time. So, the real sensitive part of the index from a business perspective is that small, we’ll call it, less than 10% of our vehicles that we stock that are actually purchased at the public auction if that helps.
Krista Friesen: That’s great. Thank you for the clarity and congrats on the strong quarter.
Mike Borys: Thank you.
Paul Antony: Thank you.
Operator: Thank you. Your next question comes from Maggie MacDougall with Stifel. Please go ahead.
Maggie MacDougall: Thanks for taking my question. Wanted to just circle back on your used digital strategy, you had a bit of a timeline over I believe it was a 36 month period to have that system up and running and hitting a few milestones and you have made two acquisitions of high volume used car dealerships, it would be great to understand where you are at in that lifecycle and what we should be considering in terms of progress markers over the next couple of quarters? Thanks.
Paul Antony: Yes. So I would say that I was probably aggressive on timing. And the reason I was aggressive on timing was I had this belief that we would be able to roll up used car dealers in the same fashion that we do new car dealers and it’s just not the case finding like high-quality dealers that have a repeatable process is instrumental to building up the platform. And so for us, it’s been a lot of evaluating and we had mentioned, we have turned down many deals, it’s important for us to make sure that we are bringing on the right partners. And so I think I underestimated how it was going to be to roll them up. And with that said, I don’t know that I have underestimated by 5% or 20%, but I definitely I underestimated it. And so, we are only doing these as they appear to be right as I have said before when I questioned, the reason we are here is because of acquisitions gone bad. And we are not here to practice we are here to do it right. And so it will take a little bit longer. If you ask me, how long does 36 months go to 38 months? I don’t know the answer to that. I just know that we are being very cautious.
Maggie MacDougall: Maybe one from Mike, do you anticipate starting to breakout the Haldimand and like the separate sort of digital use “sales” I realize they are not – the strategy is not complete yet, but breaks that out separately from the AutoCanada legacy used car volumes?
Mike Borys: Not yet. I mean, we have to wait to see or we have to wait to get some level of materiality. So we are very conscious of that right now. So we are not going to be looking to break that out.
Maggie MacDougall: Okay. And then just one final question and it’s just a really quick follow-up, you talked about the golden age of business for this industry over the coming years. And I think I understand correctly with what you are referring to is very strong demand for personal transportation and the impact that’s going to continue to be felt within the industry for a number of years related to supply chain issues, which originally began as a chip shortage and has impacted a whole host of other parts and all kinds of other end markets. And that’s just a factor of it taking some time for global inventory to get back to basically in equilibrium, this demand, is that the accurate way to summarize that?
Paul Antony: Yes. So I would say I totally agree with that. And I have also spoken to some OEMs and the feedback I am getting is that inventories could get back to normal pre-pandemic in the next year, year and a half. But that’s not going to fill the void for vehicles that were lost as a result of the pandemic. And so there is probably a 2 to 3-year window of shortage of new cars. And then put on top of that a lot of a lot of used vehicles come from the rental car fleets. And rental car companies right now have virtually no vehicles for sale and probably that’s the last bucket to get filled. As production starts ramping up, you first supply retail consumers, but the last bucket to be filled will be the rental vehicles. And so there is a shortfall there. And then to couple that, to Michael’s point, there is going to be a year or so gap for vehicles that weren’t leased, because of chip shortages and supply chain issues. And so all that to say there is going to be strong demand, low supply, probably for the next 2 to 3 years and we see that as being a great opportunity to be a car dealer.
Maggie MacDougall: Thanks a lot. I will pass the line over.
Paul Antony: Sorry, Michael, would you add anything there?
Mike Borys: Well, I would say simply put, it’s a seller’s market right now. And it’s…
Paul Antony: Sorry, I think you just said that.
Mike Borys: Yes. And it’s going to be for some time. And I do want to emphasize one thing just when it comes to the sustainability of margins and the auction and everything else like that is just to emphasize this factor that as dealers when we are doing trade-ins and pricing stuff, we are constantly working retail down. So, we have all sorts of systems and software that take into account what that vehicle is selling for on a retail basis right now and then we work our margins down and then we take our recon off. We don’t go wholesale market auction up. The auction market is such a small percentage of we will call it the supply side of the used cars in Canada, it’s mostly trade-ins and lease returns and commercial and on and on. So, we do retail down. So because it’s a seller’s market basically right now that allows us a lot more leverage in negotiating and setting the terms of pricing for all products in the transaction.
Paul Antony: And actually, one last thing I will just add is this something we have talked about in the U.S. and in Canada and it’s a question we often get asked, because we are buying so many used vehicles and because our used to new ratio is gaining strength, how do you protect against the fall in used vehicles pricing. And I would tell you that, with Michael and the team in Canada and their data analytics, the way they have thought about inventory, they are able to spot trends on pricing like immediately. And in the U.S., we have done a similar thing, where Jim has built out a used vehicle only team that marks to market the vehicles, almost on a daily basis. And so we see pricing on used cars when it does drop it to be a gradual drop, not like 30%, 40% the way it kind of went up. And so we see that as a bit of a hedge against the business. And that’s a question that I would be asking myself, if I were everybody on the phone. So, I just thought I would put that out there.
Maggie MacDougall: I suppose one follow-on question does come to mind and something we have seen in other commodity markets “not that a car is exactly the same as a commodity,” but where you get to a point where the price increase has been so substantial that the consumer turns around and walks the other direction. Have you had any indication that, that is occurring or are we far away from that as of yet?
Paul Antony: So, I think it’s appropriate to think of the car market as a commodity market to some degree. And so I agree with that comment. And the sensitivity of pricing is a good question. And the way I would frame that is that people are buying payments and that’s the most important thing. So, if you look at the percentage like I forget the exact number, but it’s over 80% of the cars we sell, we are financing. And that’s us arranging the financing for people. Now, that doesn’t include the percentage of people that are putting it on their lines of credit and home equity lines of credit and what have you. So we are selling payments all the time. And the average term is in excess of 72 months. And we do a lot of 84 month auto financing. So, a $2,000 increase or a $3,000 increase in the car payment sounds like lots, but that’s like $4 biweekly on a payment. And so that’s the nuance that makes these price increases less sensitive to the consumer.
Maggie MacDougall: Yes, that makes sense. That’s the same dynamic in the housing market. Okay, thank you so much, gentlemen. I do appreciate and I am conscious of your time. So I won’t keep you any longer.
Paul Antony: Thank you.
Operator: Thank you. Your next question comes from Trevor Reynolds with Acumen Capital. Please go ahead.
Trevor Reynolds: Good morning guys.
Paul Antony: Good morning.
Trevor Reynolds: I am just wondering if you could comment on any potential impacts of the online startups that we have seen such as the Clutch and how you guys used that growing market?
Paul Antony: Yes. So I personally have not seen any indication of it other than the hype around it. I would say that their issue is going to be inventory. And I think that’s going to be an issue for the next 2 to 3 years. And so from my previous life with where I came from, with building a brand, building a brand is an expensive, it’s an expensive thing in the Canadian market. And so I think over the course of the next 2 to 3 years, their concern is going to be sourcing used vehicles and spending against the brand that they need to build in order to sell those vehicles. And so I don’t really know how to comment. I don’t know what the outcome is going to be, but it doesn’t. It feels difficult. That’s why we are – the way we look at it, consumers are going to want to buy cars online for sure. And there are still a lot of consumers that want to buy cars in store. And so what we want is we want to be able to transact with the consumer both online and in-store. And with our scale and size across the country, we feel that we are probably best positioned to be able to do that and in a true omni-channel fashion being able to just be where the consumer wants to be. And so, I don’t really – like I haven’t really spent a lot of time thinking about the Canadian players in the market. I have certainly watched in the U.S. that’s usually a good indication of what’s coming for Canada. But I think that cost to actually get something like that up and running could be fairly significant if you don’t have an existing platform for recon and sourcing.
Operator: Thank you. It appears Mr. Reynolds line has disconnected. There are no further questions at this time. Mr. Anthony, you may proceed
Paul Antony: Listen, we really appreciate everybody’s patience as we continue to build the company and we are excited about the future. There is certainly a lot of question marks around sustainability and what the future looks like. But what we have to build on is our history that we have created over the last 3 years plus the history of the company. So, thank you for everybody’s patience and we look forward to talking to everybody on next earnings calls. Thanks a lot.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.